Operator: Greetings and welcome to the Hawaiian Holdings, Inc. Second Quarter 2024 Financial Results Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator instructions] As a reminder, this conference is being recorded. It my now my pleasure to introduce your host, Jay Schaefer, Vice President and Treasurer. Thank you sir. You may begin.
Jay Schaefer: Thank you, Maria. Hello everyone, and welcome to Hawaiian Holdings’ Second Quarter 2024 Results Conference Call. Here with me in Honolulu are Peter Ingram, President and Chief Executive Officer; Brent Overbeek, Chief Revenue Officer; and Shannon Okinaka, Chief Financial Officer. Peter will provide an overview of our performance. Brent will discuss revenue, and Shannon will discuss costs and the balance sheet. At the end of the prepared remarks, we will open the call up for questions. By now, everyone should have access to the press release that went out at about 4 o'clock Eastern Time today. If you have not received the release, it is available on the Investor Relations' page of our website, hawaiianairlines.com. During our call today, we will refer at times to adjusted or non-GAAP numbers and metrics. A detailed reconciliation of GAAP to non-GAAP numbers and metrics can be found at the end of today's press release posted on the Investor Relations' page of our website. As a reminder, the following prepared remarks contain forward-looking statements, including statements about our plans and potential future financial and operating performance. Management may also make additional forward-looking statements in response to your questions. These statements are subject to risks and uncertainties and do not guarantee future performance, and therefore, undue reliance should not be placed upon them. We refer you to Hawaiian Holdings' recent filings with the SEC for a more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statements. These include our most recent annual report filed on Form 10-K. I will now turn the call over to Peter.
Peter Ingram: Mahalo Jay. Hello, hi everyone and thank you all for joining us today. I want to start with a sincere Mahalo to our team for making enormous progress on our key areas of focus for 2024. Delivering for our guests, realizing returns from our recent investments and caring for the people and places we serve. Even as we work towards regulatory clearance of our combination with Alaska airlines, we are securing a bright, sustainable future for Hawaiian Airlines. We also took important steps in recent weeks to raise working capital and provide ample liquidity should the regulatory process be extended. First, we raised around $400 million by financing 10 A321 neo aircraft. Second, we exchanged our $1.2 billion loyalty bonds due 2026 for 985 million of new bonds due in 2029 and a partial cash repayment. While we are optimistic that the merger will achieve regulatory clearance in due course, these steps provide a meaningful liquidity runway into 2029. Shannon will discuss this in more detail. I want to make a brief statement on where we are with the merger. On May 7, 2024, along with Alaska Airlines, we certified substantial compliance with the DOJ's second request. The certification of substantial compliance triggered the start of a 90-day review period, which was set to expire less than a week from now on August 5, 2024. Yesterday, the two airlines agreed with the DOJ to extend the review period until 12.01 a.m. Eastern time on August 15th. We and Alaska have been working cooperatively with the DOJ and expect to continue to do so. Once we have more to share, we will do so in a timely manner. Brent will talk about our commercial performance in more detail, but I'll highlight a few things across our network. Our performance for the second quarter reflects steady demand for travel to Hawaii on the majority of our routes. On the domestic side, there were some challenging comps to start the quarter due to Easter shifting into March of this year. But we had a strong close over the last two months with good demand late in the booking window. Across our international routes, most notably in Japan, where the yen remains historically weak against the U.S. dollar, international point of sale remains below traditional levels. We've backfilled some of this missing Japan point of sale demand by proactively intensifying our focus on U.S. and other international points of sale. With respect to our neighbor island business, we continue to move in a positive direction with improvement in average fares and load factors that demonstrate unambiguously that we are the carrier of choice in the state of Hawaii. Well, Japan has considerable room for improvement, and Maui demand has not yet fully recovered following last year's tragic wildfires. The overall demand we are seeing across our portfolio of routes is encouraging. In particular, I'd note that the three recently added routes, Salt Lake City to Honolulu, and between Sacramento and both Kona and Lihue, have performed very well. The availability of our fleet is critical, and we've been challenged over much of the past year and a half with well-chronical shortages of A321 neo-engines. I am very pleased to share that our A321 fleet has been at full strength since the Memorial Day weekend with a full complement of engines. We expect this to remain the case through the rest of the year and into 2025. As mentioned on the last call, we now have two 787s in service. Guest response to our new flagship product has been tremendous, including accolades for our new Leihōkū suite. Our third A330 freighter has also commenced revenue flying. We've had incredibly strong operational performance on the freighter fleet, which we know is important to our customer. We will continue to ramp up operations in the months ahead. The plan is to receive four freighters during the remainder of this year and three in the first quarter of 2025 to arrive at the initial fleet of 10. Getting the freighter fleet up to critical mass is an essential step to allow us to move beyond the investment phase of this line of business and into steady state. We have now installed Starlink inflight connectivity on all 18 of our Airbus A321neos and received FAA certification for the A330. With this approval in hand, we are now underway with the process of deploying Starlink across our entire A330 fleet with 25% equipped as of the end of last week. Our target is to complete A330 installations by the end of the third quarter. We're continuing to see incredible guest response to having fast, free Wi-Fi that just works and expect this to be a driver of customer choice as awareness grows. Beyond all these major investments, we never lose sight of the fact that what our guests expect most for us is to deliver safe, reliable and efficient operations. With this in mind, returning to our long standing position as the industry leader in on-time performance is a key goal. Now that some of the external headwinds that plagued us in 2023 are in the rear view mirror. Year-to-date through June, we are over 80% for on-time performance, including ranking atop the DOT listing for March. We ended 2Q with a solid 84% for June, which should similarly rank us near the top of the industry when the DOT stats are released. In addition, our baggage performance has shown some nice gains this year thanks to the focus of our team. And understanding that we live in a world where perfection is elusive, we've also been continuing to work on initiatives to manage operational disruptions better, improve our call center experience and introducing new self-service options for guests. All of these initiatives are intended to advance our return to profitability and financial sustainability. And beyond the accomplishments I've discussed, there are other important steps we are taking to improve bottom line performance. These include driving additional revenue premium through the optimization of ancillary products, especially with respect to extra comfort and preferred seating, enhancing our premium offerings in the air and on the ground, improving employee efficiency, which goes hand in hand with running an industry leading operation, getting the freighter fleet up to critical mass to both grow and diversify our revenue and where necessary, adjusting our network and competitive profile. Again, I want to express how proud I am of the Hawaiian Airlines team. As we navigate through one of the most unique chapters in our 95-year history, this group remains unrelentingly focused on delivering outstanding guest experience, achieving industry leading operational performance and continuing to adapt our business to a changing economic and competitive environment. With that, I will turn the call over to Brent to go over our commercial performance and outlook in more detail.
Brent Overbeek: Thank you, Peter and hello, hi everyone. As Peter mentioned, demand remained steady across most of our network in the second quarter. Total revenue was up 3.5% as we flew just over 4% more capacity versus the same period in 2023. System RASM for the second quarter was about 1% lower compared to the same year period, which was in range with our guidance. Diving into our second quarter performance by geography, North America continued to demonstrate solid performance with good close in demand in the last two months of the quarter. Average fares were down slightly compared to the same period in the prior year due largely to a weakened Maui market which continues to recover. Demand for routes excluding Maui provided stability to our North American entity during the second quarter. As Peter mentioned, during the quarter we added service from Salt Lake City to Honolulu and Sacramento to Kona and Lihue and are encouraged with their performance out of the blocks. Looking ahead to the third quarter, for markets excluding Maui, we are seeing solid demand that is not quite keeping up with industry capacity increases primarily in Honolulu. For the Maui market, we see advanced bookings down slightly at lower fares than during previous years. For the Japan market, Japan point-of-sale demand remains unchanged from what we shared last call, with weakness driven by a weaker Japanese yen and high lodging costs in Hawaii. However, we continue to see success in diversifying our traffic by focusing on U.S. point-of-sale, which is expected to remain strong going into the third quarter, and by competing effectively for flow traffic to and from other cities in Asia. The yen exchange rate remains the biggest headwind in this market, though we continue to see strong affinity among Japanese consumers for Hawaii and for our brand. The rest of our international markets are seeing similar though less pronounced dynamics, with similarly stronger U.S. point-of-sale demand. Overall, international RASM continues to be impacted going into the third quarter, with lower overall yields and a modest load factor decline. While we can't control the currency environment, we have taken decisive measures to pivot our sales and distribution efforts to address the marketplace challenges. Continuing the positive movement, last quarter, Neighbor Island has shown improving yields and solid demand, which are driving year-over-year unit revenue improvement. We're seeing positive sequential RASM improvement from the start of the year through the third quarter, reflecting the strong performance for the product that we offer. In fact, the second quarter had the strongest unit revenue improvement on a year-of-year basis since the second quarter of 2022. We continue to perform exceptionally well against the competition, with a 30-point load factor differential and a prism that was roughly twice that of our competitor in the first quarter of the year. Looking at our ancillary performance, our extra comfort and preferred seat revenue has remained strong and was up 18% year-over- year, driven by continued demand and ongoing price optimization. For the third quarter, we expect overall system RASM to be down about 3% year-over-year on capacity growth of about 7%. We are seeing discounting as well, we're seeing more discounting of supply outstrips demand in both North America and in Japan. Looking at the full year, we are revising our capacity guidance downwards and we now expect capacity to be up about 5.5% year-over-year, primarily due to a shift of our third 787 delivery into the front half of 2025. Overall, I'm encouraged that in the third quarter we expect to have access to our entire A321 fleet, which will help us optimize deployment of assets on our network and also drive reliability. That, combined with the rollout of new products like the Leihōkū suite and Starlink, should allow us to deliver a highly competitive product and guest experience in the second half of the year. With that, I'll turn the call over to Shannon.
Shannon Okinaka: Thanks Brent. Aloha everyone and thank you for joining us today. We ended the second quarter of the year with an adjusted EBITDA loss of $21 million. This resulted in an adjusted loss of $1.37 per share, which includes a negative $0.14 impact from the decrease in our effective tax rate to 0% versus the expectation of 10% that we communicated at the beginning of the quarter. Year-over-year, the 0% effective tax rate impacted adjusted EPS by $0.21 versus last year's tax rate of 14.7%. The results for the quarter also reflect lower fuel costs per gallon than originally expected and a shift in the timing of heavy maintenance costs to the second half of this year, which caused us to achieve better CASMex performance than our original expectation. For the third quarter, we expect our unit costs, excluding fuel and special items, to be flat versus the same period in 2023, which consists of a number of puts and takes. There's about two and a half percentage points of increase from the costs of our larger freighter operation, which does not generate ASMs. And the decrease in maintenance credits recognizing 2023. These increases were offset by about two points of labor and benefits improvement and half a point from the timing of heavy maintenance events. On our financial results call for the third quarter of 2023, I shared that we were carrying about 25% more pilots on our payroll than we did in July 2019 for about the same capacity. By the end of this year, we expect the surplus of pilots per aircraft to be about 14% and decrease to 6% to 7% by the end of 2025, which should reflect a more steady state rate. During the third quarter of last year, we expected the CASMex impact of the training bubble and overall pilot productivity to decrease from $0.26 in the fourth quarter of 2023 to $0.14 in the fourth quarter of 2024. Excluding the impact of actual Amazon flying that again does not generate ASMs, we're on track to hit that mark and expect to further reduce the impact to CASM by over half by the end of 2025. For the full year, we are improving our CASM experience from a midpoint of up 2.5% to up 2%, despite lower capacity. We're focused on managing costs during this financially challenging period, even while we make important investments in our business to set a strong foundation for the future. As Brent mentioned, we now expect 1-787 delivery to shift from late 2024 to early 2025, which decreases our expected full year CapEx to a range of $350 million to $400 million. As Peter mentioned, we've taken important steps to bolster our liquidity and moderate our debt maturity schedule that will allow us time to return to sustained profitability. The financing of 10 A321s added about $400 million of liquidity. With the two 77s we have financed this year, we ended the quarter with $1.5 billion in liquidity, about twice our pre-pandemic target and approximately 50% of our trailing 12-month revenue. As you know, the $1.2 billion in brand and loyalty program bonds we issued in 2021 were due in January 2026. Just last Friday, we completed the exchange of $1.194 billion, or about 99.5% of the original notes for an issuance of 985 million in new notes with an 11% coupon that will become due in April 2029. And the payment of $205 million in principle to existing note holders, leaving about $6 million in original notes outstanding. While the new notes have a higher interest rate, we feel this is prudent risk management in the event the merger is delayed. While we are confident in the merits of our merger, we're also managing the business and the balance sheet in case the closing is delayed. We're focused on improving labor productivity, adjusting our commercial response to market opportunities and monetizing the events investments we have made. I want to reiterate our gratitude to all of the employees of Hawaiian who are the best in this business and are continuing to manage and operate our business to provide the best service in the industry. And with that, we can open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Conor Cunningham, Melius Research. Please proceed with your question.
Conor Cunningham: Everyone, thank you. I'm just trying to square away the recent announcement to expand West Coast flying this fall. You're talking about unit revenues sequentially declining from 2Q to 3Q. Is it just a function of the 787s arriving and you're freeing up other assets and now you want to put them in a different place? Just trying to make sense of that announcement. Thank you.
Peter Ingram: Sure, Conor. It really is a function of timing. This was kind of year-end flying that we had cancelled there and as we were waiting to see what things look like in terms of timing of 787 and a few other maintenance events. This was the step that we had in our head pocket kind of ready to go. We actually trimmed a bit of that out relative to what our previous plan was as well as just recognizing that some of those days may not be quite as strong as we had originally forecasted. It was stuff that was really focused around Thanksgiving and year-end holiday stuff that we traditionally do every year and we were going to do this year because it's good to create a flying. We were just waiting on some details around aircraft availability to get that out in the market and put it out for sale.
Conor Cunningham: Okay, that's helpful. And then on the recent credit card announcement with Barclays, can you just walk through maybe the changes to that agreement and what that might mean from economics for you all? I don't know if you're willing to talk about this, but when does that agreement extension expire, I should say? Thank you again.
Brent Overbeek: Yes, thanks, Conor. I'll take that one. We really aren't putting out a lot of details about the economic changes in that. It's a relatively modest term investment. It's a few more years that we are adding on to that, working with our existing Barclays that we've worked with for 10 years. And we thought it was important to extend that program out for a few more years at this time.
Conor Cunningham: All right, thanks.
Operator: Our next question comes from Michael Lindberg with Deutsche Bank. Please proceed with your question.
Shannon Doherty: Hi there. This is Shannon Doherty on for Mike. I know you mentioned in the script that you're adjusting the network where necessary and preventing your sales and distribution strategy on the international front. Can you go into more details here and just tell us more about what you can do to change your competitive positioning?
Peter Ingram: Yes, I'm not going to provide details of future things that we haven't announced, but I think if you look at what we've done in recent periods, we did scale back a little bit of our Japan flying earlier this year, reflective of the slow recovery in that geography. And where we have increased in recent months, it has been in North America, which is relatively a piece of strength. I think we're, as both Brent and I said on the call, we're happy with the performance of the Salt Lake route and the new Sacramento flying we added. So it is really from a network perspective about making those changes to put the flying where it's going to be most remunerative in this economic environment. And then, competitively, really a lot of it is continuing to evolve our product. Getting Starlink out there is something we've been working on for a while and it's great to be getting there, getting the 787 into service, having a greater proportion of our seat capacity across our airline in premium categories, adding to enhancements to our ground product. All of these things are really positioning us for how the market is evolving and we're going to continue to make those changes going forward.
Shannon Doherty: That's really helpful. And just as a quick follow up, on the oversupply commentary and from your key markets, are you comfortable with your capacity growth levels at 7% in the September quarter or do you think that you're perhaps growing too much? Like is there room to see more, capacity deceleration or perhaps cuts later this year and into next?
Peter Ingram: Yes, I'll start and then maybe turn it over to Brent see if he wants to add anything beyond my comments. But I would say right now we're happy with the plan we have going into the back half of the year. I think we want to continue to see how things evolve. We did perform well over the last couple of months as Brent foreshadowed in the guidance for 3Q. We do see things a little bit weaker over a year. We are over a year in the third quarter and so I think we'll take a wait and see approach, but we're going to be prepared to make adjustments where we think they're necessary.
Operator: Our next question comes from Dan McKenzie with Seaport Global. Please proceed with your question.
Dan McKenzie: Yes, hi, thanks. That was sort of my question. If Japan continues to lag, does it make sense to just to redeploy some of that flying to another international market? And it sounds like, you are looking at that currently and you may make some changes. So I guess just following up on that question related to this, what flexibility do you have to optimize your network while the merger is under review or even worst case litigated? And, what I'm wondering is if you are limited and what I'm really getting at is if the network changes that you make would cause Alaska to resubmit their estimate of merger synergies. It's something we saw in JetBlue and Spirit. Yes, once they set the network plan, they were sort of locked into it regardless of whether it was making money or losing money. I'm just wondering what flexibility you guys have.
Peter Ingram: Yes, I will look across the room at my general counsel and invite him to correct any errors in how I say this. But there are some limitations on what we can do during the period up to close. But we are also very mindful of the fact that we are two independent airlines today and we need to compete independently. And so when we talk about decisions from a network or pricing standpoint, those are entirely within the control of Hawaiian airlines to do up to and until the deal is closed.
Dan McKenzie: So potentially if it's litigated, you'd still be limited, is that correct?
Peter Ingram: No, in terms of what we do from a network deployment and a pricing perspective, it is entirely in Hawaiian airlines per view up to and until the close.
Dan McKenzie: Okay. All right. Second question here. Starlink is something you guys have obviously talked a lot about. I wonder if you can put some numbers around what it means exactly to the income statement. And then separately, I'm curious what percent of total revenue is premium revenue? And I guess the reason I'm asking, I'm just wondering how we should think about this segment as we look ahead.
Peter Ingram: Yes, let me start on the first part about Starlink and then maybe turn it over to my commercial colleagues. And what I would say is the financial impact of Starlink in the long-term is going to be hard to measure. Right now, we're in the very early period. We've only had it deployed on the A321s for a few months. We've, as I said in my remarks, we're deploying it on the A330 fleet as we speak with about 25% of the fleet done. What we can measure right now is guest satisfaction on the flights that are Starlink equipped shows a meaningful improvement. We think as people become more aware of it on our airplanes, that is going to be a driver of consumer demand for us and will be revenue enhancing. But it's going to be hard to measure. We are, we're not charging for the product on our airplanes. And so you're going to have to, try and measure over time how it's driving preference and what that impact has on demand for our flights overall. And that'll really accelerate over time as we get to a period where people are more aware of that where it's deployed across virtually all of our fleet. And we'll be getting to that point, by the end of the third quarter, we expect to have it deployed across our two largest long haul fleets. And so we'll really start getting into a period where we see that going forward.
Brent Overbeek: Yes, I don't have my fingertips kind of the third quarter breakdown in terms of front cabin, extra comfort and main cabin, we can certainly have the IR team follow up with you on that Dan. I will say that we have seen a greater resiliency and greater strength in those first two products than we have in main cabin. So extra comfort, demand remains strong. We highlighted in our discussion our ability to, to manage that more effectively and more dynamically. And we're seeing that certainly result in some price increases there, as well as the front cabin continues to remain really, really strong. And, I'm encouraged by the performance there. Peter mentioned, we talked a little bit earlier about the Leihōkū suite. And while it's only on two airplanes right now, really encouraging performance on how it's doing despite the almost doubling capacity on those flights in terms of premium capacity, how it's performing has been really encouraging on the blocks.
Dan McKenzie: Yes, very good. Thanks so much for the time you guys.
Peter Ingram: Thanks, Sam.
Operator: Our next question comes from Tom Fitzgerald with TD Cowen. Please proceed with your question.
Thomas Fitzgerald: Hi, everyone. Thanks so much for the time. Would you mind just resetting everybody where it's kind of like as a standalone, what you think the longer term run rate for CASMex will be over the next couple of years and like what kind of how you're thinking about hiring and where you see pockets for operating leverage outside labor costs?
Shannon Okinaka: Hi, Tom. Welcome to the call. We really haven't given long-term, forward-looking guidance on CASMex. And to be honest, some of that depends on our fleet plans, which we're still working through some of the delivery schedules of the 787s with Boeing. And what I can tell you is that we are highly focused on, moderate CASMex changes. So we've got a lot of initiatives. And I talked about the biggest one or the biggest driver right now, I think of, CASM improvement, which is the pilot productivity. And then there's more as well in other categories of labor. But really, that's probably our biggest effort. But we do have a number of initiatives that in a standalone company, really, it's just to help us keep that CASMex change, flat to a very modest improvement. Definitely try to manage it to not increase more than inflation. I think we're in a good spot from a labor contract position, having all of our labor contracts, not in no labor contracts in Section 6, all of our labor contracts right now are closed. And so I think that puts us in a good position, sets us up well. And we're really just focused now on work rules and productivity analysis on the crew side. So a lot of initiatives will continue investing as well in technology. But from both a guest facing perspective, as well as productivity analysis perspective.
Thomas Fitzgerald: Okay, thanks. That's really helpful. And they just have to follow up. One of your peers who has a contract with Amazon, they recently renegotiated the contract just to reflect the fact that just all the wage inflation on the pilot side, is that at all something that's in that you guys have an option to do just kind of want to think about like what the operating markets could be for the cargo businesses or ramps next year. Thanks again.
Peter Ingram: Yes, our focus right now with the Amazon contract is to continue to build the fleet up to steady state. I think the contract you are mentioning that was amended was a little bit had been established some period of time before ours. So we're not in that mode at this point in time, but we're going to continue to work with our partner to build this business going forward.
Shannon Okinaka: Tom, another thing I'll mention, kind of piggybacking off of the timing that Peter mentioned, because of that timing difference, we had more knowledge of where pilot contracts were going while we were negotiating with Amazon, and we're therefore able to model some of that out throughout our negotiation process.
Operator: Our next question comes from Chris Stathoulopoulos with Susquehanna. Please proceed with your question.
Chris Stathoulopoulos: Hi everyone. One question for me. So Peter, just if we could put a finer point here on your international point of sale market. So starting with Japan moving to Australia, New Zealand and South Korea, what are some of the levers you can pull here with respect to capacity and yields to offset the weakness here? And what are some of the, I guess, is you on your internal forecast and projections around markets like Japan where I get a lot of questions on when things might sort of normalize, what are some of the data points that you look out outside of, let's say, the yen and some of the more basic macro points investors might consider. Thanks.
Peter Ingram: Yes, I'll start and then again hand it over to Brent to see if he's got more to add. I would just say each of the geographies is a little bit different. We saw different recoveries over the last couple of years with Japan, which traditionally been our largest being the last to recover and the one that so far has had candidly the shallowest recovery. I think that is attributable to the most extreme deterioration of their currency versus the U.S. dollar. While we've seen deterioration in the Australian dollar and the New Zealand dollar, it hasn't been to the same extent that the yen has depreciated. And so as Brent and I both talked about, that's pushed us to put more focus on U.S. and other Asia point of sale over Japan. That is traffic that we really haven't had to go looking for before because there was such deep and strong demand in from Japan point of sale, but that filled the vast majority of our airplanes. But we've really put a focus on that, particularly over the last, I'd say three to six months to drive that even further. Network-wise, capacity deployment decisions, we will always look at where there are opportunities to vary demand. But being mindful of the fact that in some of the places, Haneda in particular, we have slots that are on a use it or lose it basis. And if we did make a decision there, that becomes a very long-term decision, not a short-term capacity decision. And then Australia and New Zealand, I'll just sort of look at together, but we inflectuate capacity a little bit seasonally. You saw us do that in New Zealand this year by pulling capacity out in the weaker time of the year, actually withdrawing from the market during the weaker period of the year and turning that into a seasonal flight. There's also an opportunity in both those where we can be pretty competitive in a lot of U.S. connecting origin and destination markets. So really driving the U.S. point of sale, which has been a bigger part of those markets traditionally. And that balance has shifted even more that way now. So the variety of factors, there's all the so, of course, things we do on the marketing and distribution front that we want to make sure people are aware of our brand and we're getting not only our fair share, but as high a share as possible that we can get. So it's really executing and making sure that we're doing all the right things from a commercial perspective to drive the best outcome for the economic environment we're faced with.
Brent Overbeek: Yes, I think Peter hit on all the highlights. I think the only thing I would really add is in the context of some of that U.S. point of sale demand to Australia and New Zealand, that's business that we kind of had seen before and we can grow that, particularly in a strong outbound market. We've actually even tapped into a lot of that going into Japan and Korea as well. And frankly, with historical load factors where they were, that wasn't traffic we needed to be pursuing, but it is traffic that we're seeing, particularly in some of the secondary gateways where we offer a pretty compelling product, maybe a slightly longer elapsed time than connecting over Seattle or Los Angeles or San Francisco, but pretty close in a lot of markets and we're seeing some uptake in those markets as we continue to deploy more efforts from across the commercial team to find out new sources of traffic in the new world that we live in.
Chris Stathoulopoulos: Okay, thank you.
Operator: We have now reached the end of our question-and-answer session. I would now like to turn the floor back over to Peter Ingram for closing comments.
Peter Ingram: Mahalo again for joining us today. We're excited about the opportunities ahead of us in 2024 as we integrate the initiatives of the past couple of years into our day-to-day operations. We appreciate your continued interest in Hawaiian Airlines. Aloha.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.